Operator: Good afternoon, ladies and gentlemen. Welcome to the TriplePoint Venture Growth BDC Corp. Fourth Quarter 2024 Earnings Conference Call. At this time all lines have been placed in a listen-only mode. After the speakers' remarks, there will be an opportunity to ask questions and instructions will follow at that time. This conference is being recorded, and a replay of the call will be available in an audio webcast on the TriplePoint Venture Growth website. Company management is pleased to share with you the company's results for the fourth quarter and full fiscal year of 2024. Today, representing the company is Jim Labe, Chief Executive Officer and Chairman of the Board; Sajal Srivastava, President and Chief Investment Officer; and Mike Wilhelms, Chief Financial Officer. Before I turn the call over to Mr. Labe, I'd like to direct your attention to the customary safe harbor disclosure in the company's press release regarding forward-looking statements and remind you that during this call, management will make certain statements that relate to future events or the company's future performance or financial condition, which are considered forward-looking statements under federal securities law. You are asked to refer to the company's most recent filings with the Securities and Exchange Commission for important factors that could cause actual results to differ materially from these statements. The company does not undertake any obligation to update any forward-looking statements or projections unless required by law. Investors are cautioned not to place undue reliance on any forward-looking statements made during the call, which reflect management's opinions only as of today. To obtain copies of our latest SEC filings, please visit the company's website at www.tpvg.com. Now I'd like to turn the conference over to Mr. Labe. Please go ahead.
Jim Labe: Thank you operator. Good afternoon everyone and welcome to TPVG's fourth quarter earnings call. Throughout much of 2024, the venture markets for growth stage companies continue to be challenging and we continue to be patient and selective. This was reflected in TPVG's lower investment activity over the first three quarters of the year. Heading into the second half of the year and accelerating in the fourth quarter led by the AI sector, we saw improvement in venture growth stage investment activity. Against this backdrop, TPVG's pipeline markedly increased. We're encouraged by these positive signs and also think the outlook on the investment sectors we are investing in. As we position TPVG to capitalize on an improving venture capital market, we also remain focused on proactively managing the portfolio, continuing on the path of portfolio diversification and investment sector rotation and maintaining our strong liquidity. Turning to the quarterly results, we generated net investment income of $12.6 million, or $0.32 per share, over earning our regular quarterly dividend. Regarding our strengthening pipeline, signed term sheets with venture growth stage companies at our sponsor, TriplePoint Capital, increased 246% to $323 million in the fourth quarter. This is the highest level in 2.5 years. We have also added another $215 million of signed term sheets for venture growth stage companies at TPC in the first quarter year-to-date. At this rate, we believe signed term sheets in this quarter may exceed last quarters. All of this bodes very well for TPVG and represents potential future debt investment opportunities. Our new debt commitments to venture growth stage companies in the quarter also reached two year highs to $72 million, increasing 75% compared to the prior quarter. Since the end of the quarter we closed an additional $53 million in debt commitments. We also achieved $50 million of fundings in the quarter and since the end of the quarter we have funded an additional $24 million. Moving a bit to the portfolio. We continue to curtail geographic and consumer and e-commerce concentrations and significantly increase diversification and investment sector rotation in what we believe are the favorable venture capital industry sectors in 2024. This approach has continued here into 2025. We continue to actively manage the portfolio and are working through existing credit situations, which have put pressure on NAV. These are companies on the fourth quarter watch list that have been on the watch list for the last three consecutive quarters and in some cases three of them for the last three years. As we look at the fourth quarter, no new companies were added to the watch list and our weighted average credit score remained consistent with the third quarter. Sajal will discuss a little bit more on credit later in the call. Moving to the broader TPVG portfolio, we’re encouraged by the capital raises and the performance by a number of our companies. 26 of TPVG’s active debt portfolio companies raised $1.8 billion last year, an increase of almost 200% over 2023. Following the end of the quarter, Loft Orbital announced their $170 million Series C equity financing raise. For the overall TPVG portfolio, more than $3 billion was raised by companies during 2024. This includes both active portfolio companies where we have debt outstanding, as well as those companies where we no longer have debt outstanding, but in which TPVG continues to hold its warrant in equity investment positions. Some notable 2024 raises, each of them over $100 million included Flow Health, Cresta, Corelight, Metropolis, [indiscernible] and others. We presently hold warrant positions in 98 companies and equity investments in 47. This portfolio includes some leading companies in their fields which also appear on either PitchBook’s notable US IPO candidates list or their European exit predictor IPO candidates list and includes company names such as Cohesion, Revolut and Zephs. Cohesion recently raised its Series H investment round and according to FinTech Global, the transformative transaction values the combined company at over $7 billion. Revolut is now reportedly Europe’s most valuable private technology company and announced its secondary transaction of shares at a $45 billion valuation last quarter. Other companies such as Dialpad, Filevine, Monzo among others are often discussed in these same categories. While overall IPO exit activity for venture capital backed companies remained muted last year, we believe that based on the makeup of this warrant and equity portfolio, TPVG stands to benefit when the markets reopen. Looking at the venture capital investment market, the improvements that we saw last quarter set the continuing stage for TPVG here on a going forward basis. According to PitchBook-NVCA deal value increased to $209 billion across more than 15,000 deals last quarter. This surpassed pre-pandemic and 2023 levels and venture activity continues to show signs of recovery. There is a level of renewed optimism for steady improvement in dealmaking here in 2025. Given this is a backdrop, the demand for venture lending significantly strengthened in the fourth quarter as a result. This is evidenced by our increased investment activity during the quarter and TPC’s deal pipeline for venture growth stage companies which reached the highest level since 2021. Going forward, we expect the strengthening demand for venture debt to continue throughout the year, fueling our expectations of renewed portfolio growth in 2025, as these capital markets continue to rebound and high growth companies seek strategic financing. Tailwinds in our market are being driven both by entrepreneurs and investors who increasingly recognize venture debt as a strategic tool to extend runway, to accelerate growth, to finance opportunistic acquisitions and minimize equity dilution. A further trend we’re experiencing is an upward demand in our pipeline for larger dollar sizes reflective of some of these larger equity capital raises and increasing investment activity at venture growth stage companies. We will continue on our path of portfolio diversification and industry sector rotation and are actively adding new borrowers in durable high potential sectors. These are ones like verticalized software, aerospace and defense, health tech and AI, among others. These sectors offer exciting investment opportunities and are experiencing strong investment momentum. One prime example of an AI-enabled software solution is our portfolio company, Cresta, which is making significant technological and commercial progress in reinventing the customer contact center with limited human interaction and with enterprise-grade generative AI solutions. Portfolio companies such as Affinity, Players Health, Panorama and FitOn exemplify this trend, offering innovative and specialized solutions and verticalized software. In addition, portfolio companies such as Parry Labs, Muon Space, Loft Orbital are well positioned to capitalize as the defense sector is benefiting from government fundings surrounding concerns and the increased investment in next-generation defense, cybersecurity, and satellite technologies. As we've stated on past calls, our focus in these new sectors continues to remain on companies that have recently raised capital that have ample cash runways have backing from our select venture investors, have prudent management teams and whose business models have attractive unit economics and high retention rates. Finally, I'd like to formally welcome our new CFO, Mike Wilhelms, who joined us in January and who you'll be hearing from later on the call. Mike's 30 years of financial leadership and private credit experience further bolsters TriplePoint's leading platform in its growth plans. At our sponsor, we're also continuing to prepare for future growth, making key investments now to further expand our investment team and strengthen our operational infrastructure. As we continue to move into 2025, TPVG remains committed to identifying and financing high-growth companies across dynamic industries, reinforcing our role as a leading provider of venture debt solutions to growth stage companies. While we'll continue to maintain our careful discipline and opt for quality over quantity, given the improving market conditions and the pickup in investment activity by our select venture investors we see increased deployment of our capital and venture growth stage investments as well as increasing portfolio developments through the year. All of which we believe will enable us to continue to execute on our plan to increase TPVG scale, durability, portfolio diversification and income-generating assets. With that, let me turn the call over to Sajal.
Sajal Srivastava: Thank you, Jim, and good afternoon. Let me begin by reviewing our performance in Q4 and full year 2024 and as well as highlight key expectations for 2025. Regarding investment portfolio activity during Q4, TriplePoint Capital signed $323 million of term sheets with venture growth stage companies compared to $93 million of term sheets in Q3, reflecting positive signs for the recovery of the venture lending market and our growing pipeline as we are seeing increased demand for debt financing from well-positioned to well-capitalized and growing venture growth stage companies in sectors we are targeting. For the full year, TriplePoint Capital signed $736 million of term sheets with venture growth stage companies, up almost 60% from $471 million of signed term sheets in fiscal year 2023. With regards to new investment allocation to TPVG during the fourth quarter, we allocated $72 million in new commitments with four companies to TPVG up more than 75% from our $41 million of commitments to four companies in Q3. 75% of the commitments made during the fourth quarter were to new portfolio companies, reflecting our focus on diversification and sector rotation and included Ao1 Holdings, also known as Players Health, a technology company, providing digital risk management services reporting tools and insurance products to sports organizations, Muon Space, an end-to-end space systems provider that designs, builds and operates low earth orbit satellite constellations and Parry Labs, a digital systems integrator for modernizing legacy platforms and accelerating new development in the defense industry. During the quarter, we also refinanced an existing portfolio company in conjunction with an upside. For the full year, we closed $175 million of debt commitments with 13 companies at TPVG, of which eight were new companies and five were existing portfolio companies compared to $32 million of debt commitments in 2023 and with 10 companies, of which two were new companies and eight were existing portfolio companies. During the fourth quarter, TPVG was at the high end of our guided range for fundings as a result of our emphasis on higher utilization of new commitments at closing. We funded $50 million in debt investments to three portfolio companies, up 50% from $33 million in Q3. These funded investments carried a weighted average annualized portfolio yield of 13.5%, up slightly from 13.4% in Q3. For the full year, we funded $135 million to 13 companies with a 14.1% portfolio. During Q4, we had $53 million of loan prepayments resulting in an overall weighted average portfolio yield of 15.8%, up slightly from 15.7% in Q3. Excluding prepayments, core portfolio was 14.2%, down from 14.9% in Q3. For the full year, we had $170 million of loan prepayments compared to $105 million of prepayments in 2023 and resulting in an overall weighted average portfolio of 15.7%, up slightly from 15.4% in 2023. Core portfolio, excluding prepayments was 14.5% for the full year down slightly from 14.7% in 2023 despite the 100 basis point reduction in the prime rate during 2024. As Jim mentioned, six portfolio companies with debt outstanding raised $96 million during the quarter, this was down from Q3, but looking at the full year, a total of 26 companies with debt outstanding raised $1.8 billion during 2024 compared to 19 portfolio companies raising $59 million in 2023. This represents a substantial increase in both portfolio company count and size of capital raises and also represents a larger percentage increase that overall VC investment activity over the same period of time. This fundraising activity was primarily spread across our 2021 and 2022 new portfolio company vintages, but also included 2024 portfolio companies. We believe this fundraising activity should bode well for the outlook for our [indiscernible] their credit quality as well as for the value of our warrant and equity investments in these companies. As of year-end, our warrants and equity investments had a total fair value of $116 million, flat from Q3 and up from $72 million in Q4 2023 demonstrated the impact from the robust fundraising activity. As Jim mentioned, no new companies were added to our credit watch list during the quarter, and the weighted average credit ranking of our portfolio was flat with Q3. The total number of companies in our lowest 3 ratings has improved each quarter over the past three quarters. The five companies currently in our Category 4 ranking have been on our watch list for more than 1.5 years, with the majority having been on the list for more than two years. So these are not new situations are reflective of recent originations. These are companies that we identified years ago is challenged, and we have been working with them and their investors since then. As they continue to operate, they continue to focus on ways to expand their businesses with many targeting profitability or exit events. During the quarter, one portfolio company, a women’s fashion company commerce company called NA-KD with a principal balance of $10 million, which has been rated Category 3 since Q3 2023 was downgraded to Category 4 and our loan was placed on non-accrual, while the company undergoes a court assisted restructuring process in Sweden, which we expect to be completed in the second half of the year. During the quarter, our investment portfolio experienced approximately $20 million of unrealized losses, of which $5 million was related to foreign currency exchange rate changes due to impact of the strengthening U.S. dollar on our euro and pound sterling-denominated debt, equity and warrant investments and $15 million was related to fair value adjustments on our debt investments. TPVG has not funded any non-U.S. dollar-denominated debt investments since Q1 2023. So far in Q1, the dollar has generally weakened since year-end, which will benefit these investments. Of the $15 million due to fair value adjustments on our debt investments, the vast majority was associated with three of our consumer and e-commerce portfolio companies already on our watch list, Outfittery rated Category 3 and Roulette and Mind Candy, both rated category 4. Although these companies continue to focus on growing and expanding their businesses, we adjusted the fair values of these investments due to the additional maturity date extensions of their outstanding debt and/or reduced assumptions and multiples for their enterprise values for recovery purposes to reflect the challenges they continue to face as well as any changes to their capital stack. All three companies continue to consider either further capital raises or strategic processes with one company in the later stages of the process. As we take a step back to assess 2024 and our outlook for 2025, our playbook continues to be focused on building a strong foundation for TPVG while market conditions improve. Since Q4 2023 and through most of 2024, our approach was to remain active with our select venture capital funds and in the market, while taking a measured approach to new originations in light of market conditions, our sector rotation plan and our sector preference focus, while staying on top of the portfolio and managing existing credit situations. At the same time, we reduced our net leverage and unfunded commitments in order to have access to substantial liquidity to prepare for improving market conditions and increasing demand for debt capital from companies that meet our underwriting requirements. With this in mind, we believe that by focusing on portfolio growth in 2025, by growing our pipeline, targeting well positioned and well capitalized new customers in attractive sectors, and by increasing the pace of new commitments and new investment fundings, while maintaining our strong yield profile, we will continue along the path of building a strong foundation for TPVG through asset scale, increased portfolio diversification and industry sector rebalancing, enabling us to drive TPVG’s earnings power over the course of the year. In terms of portfolio growth, while our forecast for quarterly growth investment fundings is in the range of $25 million to $50 million for the first quarter, we believe that this range may increase over the course of the year as and if market conditions improve. So far in Q1, TBC has already signed $250 million of term sheets and TBVG has closed $53 million of new commitments and funded $24 million of debt investments. We’ve recognized that portfolio growth as well as prepayment activity over the course of the year will have a material impact on our ability to cover our distribution and we’ll continue to be mindful of both over the next few quarters. As market conditions improve over the course of 2025, we expect to see improving fundraising activity for our portfolio companies. And as capital markets improve, we could see a pickup in exit activity as well, both of which should have a positive impact to our warrant and equity portfolio in addition to our credit outlook for our debt investments. We note that some of our portfolio companies continue to explore this secondary market as an alternative to the IPO market with Revolut successful secondary last year at a $45 billion valuation. And there have been reports of a potential new secondary process at a $60 billion valuation, as well as reports of Cohesity secondary process at an $8 billion valuation, both of which would have positive impact to our investments should they occur. In closing, we remain focused on executing on our plan for positioning TPVG not only for 2025, but for the future as well. With that, I will now turn the call over to Mike and welcome him to his first earnings call with us.
Mike Wilhelms: Thank you, Sajal, and hello, everyone. I’m excited to be part of the TriplePoint platform and I look forward to working alongside our talented team to position the company for the future. For the fourth quarter, total investment income was $26 million with a portfolio yield of 15.8% as compared to $33 million and a portfolio yield of 15.6% for the prior year period. The decrease in total investment income was primarily due to a lower weighted average principal amount outstanding on our income bearing debt investment portfolio, partially offset by the higher portfolio yield. Total investment income for the full year of 2024 totaled $109 million with a portfolio yield of 15.7%. This compared to $137 million for the prior year period with a portfolio yield of 15.4%. For the fourth quarter, total operating expenses were $13.1 million lower when compared to the $15.7 million for the prior year period. These expenses consisted of $7.6 million of interest expense, $3.4 million of base management fees, $500,000 of administrative expenses and $1.6 million of G&A expenses. Due to the shareholder friendly total return requirement under the incentive fee structure, there was no incentive fee this quarter. Total operating expenses for the full year of 2024 totaled $54.1 million as compared to $63.7 million for the prior year period, a 15% decrease. For the fourth quarter, net investment income totaled $12.6 million or $0.32 per share compared to $17.3 million or $0.47 per share for the prior year period. For the full year of 2024 net investment income totaled $54.5 million, or $1.40 per share, as compared to $73.8 million, or $2.07 per share for the prior year period. Now turning to realized and unrealized gains and losses. For the fourth quarter, net realized losses on investments totaled $300,000 as compared to $52 million for the prior year period. For the full year of 2024, net realized losses on investments totaled $33 million as compared to $75.8 million for the prior year period. For the fourth quarter, net change and unrealized losses on investments totaled $19.5 million, consisting of $15.3 million of net unrealized losses on the existing debt investment portfolio and $5.1 million of net unrealized losses from foreign currency adjustments, offset by $900,000 of net unrealized gains on the existing warrant and equity portfolio resulting from fair value adjustments and from the reversal of previously recorded unrealized losses from investments realized during the period. For the full year of 2024, net change and unrealized gains on investments totaled $10.5 million, consisting of $26.5 million of net unrealized gains on the existing warrant and equity portfolio resulting from fair value adjustments and $14.7 million from the reversal of previously recorded unrealized losses from investments realized during the period, offset by $30.7 million of net unrealized losses on the existing debt investment portfolio. Combining realized and unrealized gains and losses, the net realized and unrealized losses for the full year of 2024 totaled $22.5 million, improving by 80% compared to the prior year period of $113.6 million. As of year-end, net asset value was $345.7 million, or $8.61 per share. We declared a regular quarterly dividend of $0.30 per share with a record date of March 17 to be paid on March 31. We have undistributed spillover income of $43.4 million, or $1.08 per share as of year-end. In 2024, we covered the dividend with net investment income per share of $1.40, equaling total distributions per share. Finally, an update on unfunded investment commitments, balance sheet leverage, and overall liquidity. We ended the year with $105 million of floating rate unfunded investment commitments, of which $9 million was dependent upon the portfolio company reaching certain milestones. This level of commitments represents an 11% decline from a year ago and bodes well for new investment capacity in 2025. Of the debt investments in our portfolio as of December 31, 2024, approximately 63% in principal balance bore interest at floating rates. TPVG had a total of $400 million of debt outstanding consisting of $395 million of fixed rate investment grade term notes and $5 million outstanding on our floating rate revolving credit facility. We improved leverage levels throughout 2024 and ended the year with a leverage ratio of 1.16x compared to 1.76x at the end of 2023. As of year-end, the company had liquidity of $374 million consisting of $79 million in cash and restricted cash and $295 million available under the revolving credit facility. Given the reduced unfunded commitment levels, low balance sheet leverage and current liquidity of $374 million, TPVG is in a position to grow its investment portfolio in 2025. We were pleased to announce earlier in the year that TPVG raised $50 million in aggregate principal amount from the private issuance of senior unsecured investment grade notes due February 2028. The notes were delivered and paid for on February 12, 2025 and the net proceeds along with cash on hand were will be used to repay the $70 million of notes maturing this month we elected to raise less than the maturing $70 million to both improve and provide greater flexibility with our balance sheet leverage. This completes our prepared remarks today. Operator, could you please open the line for questions at this time?
Operator: [Operator Instructions] And your first question today will come from Crispin Love with Piper Sandler. Please go ahead.
Crispin Love: Thank you. Good afternoon, everyone. First, can you discuss your views on credit into 2025? It seems that you haven't experienced any new credit issues as of late with the recent unrealized losses being driven by prior watch list loans rather than any new ones. So just curious on the forward outlook there and confidence on credit into 2025?
Sajal Srivastava: Yes, this is Sajal. I'll take it. I'd say, yes, we're pleased that the number and the names on our watch list has been improving for the past three quarters and I think it's a function of again execution on those companies robust fundraising and equity activity as well. And so I'd say, our perspective is that as long as the market and performance of our portfolio companies continue to be stable, that credit outlook should be stable or improving over the course of 2025. But obviously if market conditions don't improve or portfolio companies don't perform, that could change.
Crispin Love: Okay, great. That's helpful. And then just on prepays, they were pretty elevated in the quarter. Can you discuss some of the key drivers there? Are there some one offs and then just early thoughts on 2025 for prepays?
Sajal Srivastava: Yes, I'll take this one. So I would say, our prepay activity, a part of it is associated with our intentional goal of rotating out of certain sectors, in particular consumers. So we've seen in 2024 about 60% of our prepays were from e-commerce and consumer related companies. So kind of along our goals of the portfolio rebalancing. And as we look to 2025, we continue to expect that the pace of one prepay per quarter. But I think as we look at it just practically these prepays will come from some of our older vintages. So these will be more seasoned assets and so, should have less of a volatile impact on NII, so to speak, for the quarters in which they occur.
Crispin Love: Great, thank you, Sajal. I appreciate you taking my questions.
Operator: Your next question today will come from Brian McKenna with Citizens. Please go ahead.
Brian McKenna: Thanks. Good evening, everyone. So, you reported $0.32 per share of NII in the quarter. Some of the impact from lower base rates into year-end still have to flow through the P&L. And you saw the two names on the watch list so are you still comfortable with the $0.30 quarterly dividend. And then is there a way to think through where and when dividend coverage ultimately troughs?
Sajal Srivastava: Yes. So, I would say our perspective and as mentioned in our prepared remarks, I think historically we've focused on covering our dividend from NII on a full year basis and we've been pretty consistent about it. Although we've had a quarter or two where we've under earned and then made it up on a full year basis. Heading into 2025, I think we're realistic when it comes to dividend and mindful that it's the levers of portfolio growth and prepays that have an impact on it. We do expect fundings to be higher in 2024 and prepayments to be lower. But I think the reality is, we're going to be pragmatic and if portfolio growth doesn't materialize, we'll have to take that into account and be realistic about it.
Brian McKenna: Okay, that's helpful, thanks. And then just looking at yield on new fundings in the quarter, they totaled 13.5%. That's 200 plus basis points below the average yield of the portfolio at year end. So how should we think about the overall yield of the portfolio as assets continue to turn over throughout 2025, assuming no change in base rates from here?
Sajal Srivastava: Yes. I mean I think we continue to believe that our – will hold our yield profile of the portfolio. I think obviously, with the base rates going down 100 basis points over the last 12 months. It takes a little bit of time for that to flow through and then stabilize. But keep in mind, we do put set prime rate floors for our new investments and our older investments. So even though 2/3, as Mike said, of the portfolio is floating rate. We do have the benefit of prime rate floors. But again, I think as we look to venture lending in general, there is a target return we all expect to make as lenders. That's relatively high. And so that's why we're not anticipating more spread compression. And then I think from our perspective, we'll continue to see the benefit of prepaid, which was then help to boost the overall portfolio on a total basis as well.
Brian McKenna: Okay. Great. I'll leave it there. Thank you.
Operator: [Operator Instructions] And your next question today will come from Casey Alexander with Compass Point. Please go ahead.
Casey Alexander: Yes. Good afternoon. Welcome, Mike, to the team. I have – I'm wondering – and I think you can only answer this as of 12/31. To what extent has the whole portfolio reset now based upon the 100 basis point decrease in base rates? Or is there still some more portfolio positions that have to reset in 2025 in the first quarter of 2025. And if so, like how far along the process are we?
Sajal Srivastava: Yes, Casey, I'll take it. So I would say when base rates change, they generally are effective immediately or within the next month for our portfolio companies. So you'll see that with the funded assets relatively quickly flow through obviously, with our unfunded commitments. There's a combination of floaters and fixed rates with – or floaters with primary floors and so it's a function of also just new asset fundings and when those were originated then that could impact the portfolio. But I would say, generally, to answer your question, it should all have been really flushed through already, so to speak.
Casey Alexander: Okay, great, thanks. That's helpful. Secondly, you borrowed less than what you're refinancing, I assume that the difference is headed for the credit facility for the time being in the hopes that you can capture it in some other unsecured financing in the future that rounds up at a lower cost than the one that you did just now. Is that the right way to think about it? [Indiscernible]
Sajal Srivastava: Yes. We are – I was going to say – I mean, Casey, we are looking to optimize our balance sheet leverage and also looking to rebalance because as of right now, and I mentioned in my prepared remarks, of the $400 million outstanding, $395 million of that is term debt. And so we had the option to refinance this $70 million maturing with the full $70 million, but we opted to raise less in that effort to rebalance and try to push more of our debt to our revolving facilities.
Casey Alexander: Is that balancing act, does that help you maintain an investment-grade rating with the rating agencies by not having too much unsecured as a portion of your liability stack.
Sajal Srivastava: Yes. In part, yes. That went into the – our overall decision.
Casey Alexander: Okay. All right. Thanks for taking my questions. I appreciate it.
Sajal Srivastava: Thank you.
Operator: And your next question today will come from Christopher Nolan with Ladenburg Thalmann. Please go ahead.
Christopher Nolan: Hey, guys. Following up on Casey's question – does – should we expect higher leverage through 2025?
Sajal Srivastava: Yes. I mean I think we talked a lot – yes, I was just going to say we've talked a lot about portfolio growth. That's what we're expecting here in 2025. And so we're also expecting with that growth that our leverage would climb back up.
Christopher Nolan: Okay. And that's not assuming any ATM because your share price is trading below book, right?
Sajal Srivastava: Correct. Yes. We don't currently have any assumption for any further raises under the ATM.
Christopher Nolan: Okay. And then I guess, it's more of a strategic question for Jim. Jim, I was fascinated by your comments on AI and how you guys are making investments in that. Any possibility of AI sort of cutting down the expense ratios for BDCs or improving returns?
Jim Labe: Well, AI is going to continue to be universal, prevalent and helping across the Board, not just probably BDCs, but just in general you name the sector law, finance, software, communications, education. But speaking of AI, yes, it’s prevalent. It's probably one out of every three investments we're seeing these days, but one definitely needs to be careful of any hype. There's a lot of inflationary valuations which are going on out there. But at least regarding our AI portfolio and this is at the platform, not just as well as at the growth stage. There's some very exciting niches we're in, durable ones with proprietary datasets and so forth. We're not in that bigger universe of these wide open models. How it would apply specifically, we're actually employing some within our due diligence and a couple other things. So I'm not exactly sure yet how it's going to apply to the BDC business. We've got to avoid that buzzword. There's not a conference I don't go to whether it's venture conference technology whatever where AI doesn't come up. So I'm glad we got an AI question here.
Christopher Nolan: And then actually here's a second follow-up AI question. One of the features of a large language model AI as I understand it, I'm no expert, is the ability to read into contracts. And then together with things like blockchain which basically enables to automate execution of contracts, are you seeing more of an adoption of those technologies, which you as a lender would get a much more real-time view into a customer's contracts?
Jim Labe: Well, we have to be a little bit careful because all companies, we have AI policies and things and there are some shortcomings of AI even as it continues to evolve, especially given hallucinations and other things like that. But where we're more involved is in these investments where it is in these companies and machine learning and the large language models and data analytics and automation solutions aimed in more unique use cases and applications. I'm stopping short of saying this is something that we actively deploy or can deploy right now, if I'm answering your question.
Christopher Nolan: Yes, you are. Okay, great. Thank you. And Mike, welcome.
Mike Wilhelms: Thank you.
Operator: And your next question today will come from Paul Johnson with KBW. Please go ahead.
Paul Johnson: Yes. Good evening. Thanks for taking my questions. So I just want to make sure I'm kind of hearing you clear on it. You made it pretty loud and clear about growing the portfolio and probably using leverage to do that. But I'm just curious because over the last year, two years, a little over a year, the most of the discussions on the calls were about kind of reducing leverage back down into the target range and less attractive potential markets to deploy into. So I'm sensing obviously a shift here to where you're going to be more comfortable with taking leverage back up again now that you've kind of reduced it to a more comfortable level. So just want to make sure that's what you guys are messaging and what I mean is it based on credit issues that you believe are more under control or a lower level of unfunded commitments that are out there or is it just simply just the vintage that you’re seeing here in 2025?
Sajal Srivastava: Yes. Paul, good question. Let me start. So I'd say that what's fundamentally driving the kind of the outlook for portfolio growth is, as we said in our prepared remarks is improving market conditions in the venture capital markets and then improving demand from high quality companies that meet our credit underwriting criteria. So I would say those are kind of the primary basis as we look to what's driving our commentary about portfolio growth. It's just it's market recovery and it's the quality that we're seeing, which we did not see over the last seven quarters. So I think absolutely a change from our perspective based on kind of again, the market conditions improving as it comes to leverage. Let me just be clear. Our leverage right now is artificially high, as Mike said, because of the magnitude of term debt that we have outstanding. So inherent with our liquidity and cash position right now, we can fund a fair amount of portfolio growth with just the cash we have on hand with no material change to our leverage ratio. And then as the portfolio grows, and again, we obviously have to factor in prepayment activities and things like that, then we would see our leverage ratio increase as portfolio growth was in excess of again the cash that we have right now. I think to Mike's other comment, one of the challenges of venture lending is the prepayment activity. As we said, one prepayment a quarter, if you look at where we are right now, given our continued prepayment activity of outlook for one a quarter, we don't have the revolver to pay down. And so we need to have a better balance between long-term debt and revolving debt. So when we have those periods of prepayments, we're able to benefit from reduced interest expense, pay it down the revolver, and then wait till the portfolio fundings come redeploy. Then when we get to higher overall utilization of our warehouse facilities, then we look to either going to the term markets or to the equity markets if the stock is cooperating to replenish and balance it out. So I think it's going back to that playbook. We're not there yet. We've got a fair amount of liquidity deployed before we even talk about increasing our leverage. But again, if our assumptions of portfolio growth and muted prepayment activity come to fruition, then we'll see that slightly higher leverage tick up over the course of the year.
Paul Johnson: Great. Appreciate all the clarification on that. Very helpful. And then just one last question for me. I mean in terms of your fintech investments, particularly, the more successful ones like Progeny [ph]. Just curious, kind of in your mind how many of those companies are dependent on bank partnerships?
Sajal Srivastava: Yes, if fintechs in general. So I would say it's a. It depends on the type of fintech. So to the extent that we have lending fintechs then they have warehouse providers and I'd say the vast majority of our lending related fintechs have multi syndicate or multiple credit facilities with syndicates of lenders. Progeny, for example has actually tapped the securitization markets before. So those are. We're well positioned from that perspective as we looked to our payments and other related fintechs. Absolutely. That is something at time of underwriting we're very cognizant of. I think the good news is because we focus on venture growth stage companies, these are more proven out, more robust older companies, they've had the benefit of track record to have multiple counterparties on the banking side across geo, so well protected. If these were earlier stage companies, that would be more of a concern. But again given the venture growth stage focus, less of a risk for our fintech portfolio companies.
Paul Johnson: Thank you very much. That’s great.
Operator: That concludes our question-and-answer session. I would like to turn the conference back over to Mr. Jim Labe for any closing remarks. Please go ahead.
Jim Labe: Thanks, operator. As always, we'd like to thank everyone for listening and participating in today's call. We look forward to updating and talking with you all again next quarter. Thanks once again. Have a nice day.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.